Operator: Good afternoon, ladies and gentlemen. Welcome to the Research Frontiers Investor Conference Call to discuss the first quarter of 2023 results of operations and recent developments. During today's presentation, all parties will be in a listen-only mode. And following the presentation, the conference will be opened for questions by pressing Pound one. This conference is being recorded today. A replay of this conference call will be available starting later today in the Investors section of Research Frontiers' website at www.smartglass.com and will be available for replay for the next 90 days. Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts, and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs, and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. If you find that your question has been substantially answered as a courtesy and to allow time for other shareholders to ask their questions, please remove yourself from the queue, by pressing pound 1. Also, we ask that you keep your questions brief in the interest of time. I would now like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thank you, Ross, and welcome aboard, and hello, everyone, and welcome to our first quarter 2023 Investor Conference Call. If you had a chance to review our 10-Q or the press release we issued earlier today with your financial results for the first quarter of '23, you'll see that we're in very good shape. Total expenses were lower in the first quarter of 2023 compared to the same quarter last year. Investment income was up and our net loss was down 26%. At March 31, 2023, we had no debt and more than $4 million in cash and cash equivalents and marketable securities and working capital of $4.6 million. We expect to have sufficient working capital for at least the next 5 years of operations. I think everyone will be very pleased to hear that royalty income for the first quarter of 2023 was up 91% from the previous quarter and was up 43% from the first quarter of 2022. This increase came from higher royalties in our two largest markets, the automotive and aircraft markets. Car models from Cadillac, Ferrari, McLaren, and at least one other Asian car manufacturer are expected to be introduced into serial production in 2023 using our patented SPD-SmartGlass technology in their panoramic glass roofs. Sales continue in various models of aircraft, and you will see from recent announcements just a few weeks ago by our licensee Vision Systems, they are now supplying SPD electronically dimmable windows on two very large aircraft from Airbus, the ACJA319NEO with AMAC Aerospace and the ACJ220 with Comlux. Deployment of SPD on trains and boats continue as well as for architectural applications. 2023 started as an active year for SPD with debuts by Gauzy and many of their customers at the Consumer Electronics Show, including the keynote by the CEO of BMW, joined on the stage by Arnold Schwarzenegger. The car had SPD SmartGlass all around the side glass as well as being featured in the keynote presentation in the heads-up displays. What I like about this, besides the sheer volumes of vehicles that BMW makes, is that they're not only working with SPD to solve traditional problems of heat, light and glare coming into their cars from the roofs, but also to use it for range extension, fuel economy and as Bentley also pointed out, reducing weight and the number of moving parts and components in the vehicle. As BMW recently demonstrated, they also have worked with SPD for nontraditional uses for SmartGlass. Last year, they showed the dynamic headlights. And this year, SPD became an important feature in adding function and performance to their heads-up displays to be introduced in cars starting in 2025. After CES, Gauzy and n Vision Systems were at the bus world in Detroit from February 4 through 7. And since our last conference call, SPD was also showcased elsewhere around the world, including their helicopters at the Heli-Expo in March in Atlanta. Gauzy will have SPD for architectural and other applications at Glass China in Shanghai starting this weekend, May 6 through 9. And we expect more public exhibitions at trade shows in product and project launches moving forward. With that, I look forward to answering your questions, and let's start with some of the ones that were e-mailed to us in advance of the meeting. In some cases, I'm combining several questions that are related to each other into one. This is from Patrick Joe, can you please talk about your competition in various markets? Well, for a long time, Patrick, our competition was traditional curtain shades and blinds, low-tech solutions to shading and often low-cost. Then people realized that more elegant solutions were possible to shade light while not blocking one's view. The three main technologies, Patrick, that are used in the smart glass industry are PDLC, electrochromic, and SPD. And we are the leading and best-performing technology when it comes to shade and also the one with the longest track record of reliability of performance out there. We're also the most expensive, at least we think, because no one knows quite for sure because electrochromic has been heavily subsidized. However, those costs are coming way down based on the capacity at the current factory at Gauzy and are probably going to approach 1/4 to 1/3 what they were when the technology first came out. Let's talk about the different technologies. So Patrick, in general, there's PDLC, which is very good for privacy, and it's mostly used in interior applications for architectures such as bathrooms and conference rooms, and it's relatively a cheap commodity-type solution. It has been tried by some automakers, but one of the first to try at Mercedes eventually realized its durability and performance shortcomings and adopted SPD Smart Glass instead. Electrochromic technology another type of technology has received massive amounts of taxpayer dollars with not much to show for it as far as I'm concerned. Two companies, Sage and View use this technology, Sage is a private company, View is a public company, so there is more information available about it. So just to give you some performance data, SPD will switch from tinted to clear in about 1 to 2 seconds. Electrochromics typically takes 10 to 40 minutes to switch depending upon the size of the glass, maybe about 8 to 10 minutes for a sunroof and 40 minutes for a typical architectural application. It also changes from the outer edges first, creating a donut hole look in round aircraft windows and an Iris effect in larger architectural windows. The technologies are different, but also the companies that we compete against are also much different, and probably they are good examples of how not to work with SmartGlass. And if you will allow me a little detour, Patrick, with your question, I think it will illustrate some key points about this in our competition. View is a public company. And as of this morning, their stock year-to-date was down over 72% after being down 75% last year. View also failed to file its proxy on time, and this makes me speculate that a stock split and even more dilutive stock issuances, assuming that they can raise capital, need to be approved by their shareholders under NASD rules. In early April, View announced that we're cutting 170 jobs, which represents about 23% of their workforce, and they needed funding to survive. Their SmartGlass sales were down over 16% in 2022 versus 2021, and they reported a loss of $337 million in 2022 and had $198 million in cash at year-end and burned through $260 million during the year. I'm thinking that May 9 conference call should be very interesting. Another publicly traded SmartGlass company, Crown, is down 28%this actually about 33% after being down 95% in 2022. And they also had layoffs. They reduced their headcount for SmartGlass from 31 to 16 people. And from a technical and product standpoint, Crown is falling far short of their stated requirement of 1.5-meter wide film. They announced about 2 weeks ago that they can now make a prototype of 24 inches wide. And they're not in commercial production and are years beyond their target date for that production. And to quote their shareholder letter about a week ago, this 24-inch wide film is “by far one of our greatest accomplishments.” Crown has not even delivered their first-generation smart window inserts to customers, much less their highly touted second-generation inserts. They lost $14.3 million in 2022 and burned through over $11 million in cash, they had about $800,000 in cash at year-end. So based on their public filings with the SEC, I'm estimating that View runs out of cash in early September and Crown runs out of cash in late June. But both will undoubtedly try to extend these dates and try to raise additional financing if they can. And both of these companies, as I mentioned, had very large layoffs. And they've also disclosed in their SEC filings, and hidden in the footnotes that they had issued warrants to their key customers to get them involved. And I think that they've done some highly dilutive financing just to keep their doors open, and their prospects for continuing to do that keep diminishing. They've also bought other businesses to hide the fact that their lack of sales in their smart window products. So I think that shows, and I appreciate the detour, Patrick. I know you asked a general question, but I went a little bit beyond that with some more detail. But I think it clearly shows how not to operate a SmartGlass business. We spoke earlier in this call about some of the accomplishments that we've had just this year. Our stock was up over 11% last year, and expects this year, we expect to reward shareholders again. Gauzy has been able to raise capital from key strategic investors like Hyundai and Avery Dennison, and other industrial companies in their supply chain and are hiring people worldwide. So when you look at Research Frontiers and our licensees, I think you'll see some great real-world examples of how smart glass businesses and products should be done. Let me take a couple more questions that have been e-mailed to us. Okay. So this one is from Jeff. Joe the EV market is running into a roadblock. They cost too much, witness Tesla lowering prices 3x. Fisker Rivian and others not meeting their production quotas, and the rollout of charging stations is coming slowly. I think this will slow the rollout of mass-produced EVs in the near term and will affect your royalty stream. What is your thinking? Well, first, Jeff, we certainly can benefit the electric vehicle market. We increase the driving range of electric vehicles by 5.5%. But we're not relying on the electric vehicle market for increased revenues. Most new cars this year are internal combustion engines, vehicles that are coming out with our technology. And the new ones are also internal combustion as well as EV. So while electric vehicles give us a nice push over time, they're not essential today or in the near term to our growth of revenue. And I think you've probably seen a little bit of that already. And right now, only about 7% of cars in the world are electric vehicles. So we have a lot to go. Another question from Colin. Okay. When can we first expect the first announcement from 1 of the 2 Asian automakers? Many thanks. Okay. Well, we know when cars are coming out. We just don't know when they're going to be announced, and that's kind of the nature of the business we're in. And just to give an example, sometimes even the carmakers don't know. When the Cadillac Celestiq came out, it was announced at the Consumer Electronics Show in January, 6 months before that announcement, the people on the production team had no idea when they were going to announce it. So even within the automakers, sometimes you don't know when the marketing department is going to pull the trigger. But you can actually get a good sense from some of the auto magazines and blogs when cars are coming out and the general equipment they're going to have, and I think that's helpful to have on. So this question is from Randy. When will the two Asian automakers we have discussed and you mentioned in the conference call begin production? Will they be in production models or concepts? And if production models, will those revenues be included in the third or fourth quarters of this year, as was alluded to as well? And first of all, thanks for the question. These are production models, they’re not concepts And I don't know if it's going to be the third or fourth quarter, and that really depends on when the what type of lead times these auto manufacturers will need to put these in the car. Now when we first came out in Mercedes, just to give you an idea, and I think it's probably a good thing to talk about. There was a very, very, very intense effort to get qualified as a technology for automotive. Very few companies have done that. Certainly, in the automotive industry, we are the leader in that, and we've done it, and we've done it with probably the most demanding launch customer there was, Mercedes. It's a very long process. And typically, though, if you do that process successfully, and there's been tens of thousands of cars that have our technology on the road that haven't had one reported problem. The other carmakers tend to not have to do as much development work. So it really depends on what kind of lead time they want on that. Another question I got was how is that development work going with Hyundai? First, let me say that while we haven't officially confirmed that Hyundai is coming out with our technology, I think it's important to note that Hyundai is a strategic investor in our licensee Gauzy and some of their public statements have talked about a car with SPD coming out in series production. So now to answer the question, that development work has gone very, very well. People are very, very satisfied with how SPD is performing. And we kind of expected that because we have gone through this ourselves with other licensees when Daimler first came out with the various Mercedes models. So we expected this to go well, and in fact, it did go well. So that's something that we could all look forward to. Another question is from Sam. On my previous visit to Research Frontiers , I noticed a large SPD glass at the entrance that has been cycling on and off for years. How many times has this cycled been on and off without failure now? Well, we stopped counting. I know that we've gone beyond 20 million cycles. And I know our licensees for some of the testing they've done for customers have gone well beyond 20 million cycles. We don't expect any kind of degradation from on-off cycling. The reason is that we're not an electric chemical reaction like a battery charging and discharging. To put it in context, electrochromic technology, which we talked about earlier in response to Patrick's question, is a an electrochemical reaction, those tend to get slower and less performing with cycling. SPD is simply these nanoparticles that line up and randomized based on Brownian motion and no electrochemical reactions in there. And because of that, you don't have the degradation on the on-off cycle. What gives you confidence, another question. What gives you confidence that we'll see more automakers adopt SPD over PDLC in the near future? And what kind of feedback have you had on automakers from both technologies? Well, the confidence I have is really based on experience. Mercedes started actually with PDLC many years ago, and it didn't take them long to realize that using PDLC in the roof of a car has the opposite effect of what was desired it actually created greenhouse effects inside the vehicle, made the cars hotter. And it's because PDLC is good for privacy, as I mentioned to Patrick, but it's not very good for shading. And because of that, it creates all these environmental issues inside the car in terms of heat buildup and other things. Another question. I answered one of them from Jared about GN7, which is the Hyundai vehicle we talked about. Is Gauzy making the film for the Ferrari Purosangue? And the answer is yes. They are supplying the film for that. And is Gauzy able to make SPD film for commercial applications right now at any price with acquired OEM-level quality control. And the answer is yes, you're seeing this based on the development efforts from going on in Asia, going on in Europe, and just in general, that. Another question is from Frank. I ask if you could speak to Hyundai’s chances about going into production. I know what you could say is limited, but investors are going by the multiple articles that are on the Internet that says the GN7 is expected to have the Magic roof similar to the Mercedes-Benz. Okay. Well, yes, the answer there is, I think, based on the development efforts and the fact that Hyundai is a strategic investor in Gauzy, that we have a pretty good chance of seeing its success. The other part of your question was, can you talk about the significance of that? Well, Hyundai is a high-volume producer of automobiles. So just the sheer volumes of that, I think, are important. But I think also one of the really important things here is that if you look at the car, they're targeting this for, it's a $35,000 to $37,000 MSRP vehicle and the luxury addition of that comes out in August. And if you can make it into a $37,000 vehicle, I think it's a huge game changer on how the industry will look at SmartGlass in general, but SPD in particular, because up until now, we've been in mostly the high-end cars like the Ferraris and Mercedes and McLarens and Cadillacs of the world. And this would be the first mid-level car that we're in. This question for many posts by BMW and Gauzy, does the new class have an actual, actual plans to adopt the SPD Tech in the heads-up display that’s seen in the iVision Dee? Or are they just planning to use the darkened area of the windshield to project on their 2025 newer classic. And I'll give you the answer. First of all, being at CES and specifically being invited by the CEO of BMW to attend, Gauzy and I were really honored to be there for the keynote address. And Gauzy had supplied SPD SmartGlass for all the glass in the car. So all around the glass sides was SPD-SmartGlass. But I think that if you listened to the presentation that Oliver Zipse had made about the car itself and what's planned for 2025. He talked about the ability to vary the visibility of the heads-up display based on what mode the car was in, whether it's in fully autonomous mode, where the car is completely driving itself. And there, the heads-up display in the glass will show a lot of information because you don't have to see through the windshield, you can watch a movie or check your social media posts or whatever you want. When you're in semiautonomous mode, you get a lot of the useful information in the heads-up display like speed and navigation and other things like that. So it's very important to be able to see that information on the screen and you need to have a variable dynamic display in order to do that well. So And if you look at some of the Gauzy posts that they made about the Vision Dee debuting in China in Shanghai this week, they do discuss the high contrast displays that are possible with SPD. So I think the plans are to definitely do a kickass heads-up display that people are going to really enjoy having in their car. So now I'm going to ask our operator, Ross, to open up the conference for any additional live questions since we've now answered all of the e-mailed ones that we've gotten so far. So Ross, if you wouldn't mind us somewhere in the queue there, that would be great.
Operator: [Operator Instructions] And our first question comes from Jared Sherman from Strategic Planning Group.
Jared Sherman: A question for you because I know you seem limited on what you're able to say based on their equipment manufacturers and Gauzy, they want to announce things themselves. And I'm guessing guidance, it's kind of hard for you to put out because you don't really know when the cars are going to hit the streets. But one thing I was thinking that you could control would be some sort of a stock buyback and being now you sold some shares at $2.30, it's a pretty nice discount. It was such a long runway of cash reserves. I can't think of a better way to get behind the stock and show some support that you guys believe in the thing. I was wondering what your thoughts were on that.
Joe Harary: Well, things like stock buybacks and dividends, which is something we talked about on the last call, which is another use of the capital we have, are things that have to be decided by the full board. All of us on the board though are shareholders and have been shareholders for decades. So I personally would love to see higher stock prices and dividends come out. But it's not something that we have an immediate plan for. And I think even though we're coming into an environment where there's a lot more certainty, and I'm going to put on my hat as a former economist at the Federal Reserve Bank in New York. My sense, as best I could see it, is that businesses are starting to get used to the current reality in the marketplace, which means there's predictability and less paralysis going on in the market, which is a good thing. The capital markets still haven't fully opened up. And based on some of the things going on out there that we pay attention to, probably after Labor Day, they might. And I think we'll always look at our cash position as something that is a cushion against uncertainties so that if you're speculating on anything, it's not whether we're going to be in business in 6 months, it's going to be the magnitude of the sales of our technology. But in the past, we've done stock buybacks and we might do it again.
Operator: And our next question comes from Jeremy Law an Investor.
Unidentified Analyst: Joe, I'm concerned about this litigation with this company, Global Glass. And I'm wondering how are you controlling your technology. I've read through the filing, and it looks like there's a question about the control system itself that was created by FCFC. Where are we at?
Joe Harary: Okay. Great question. Thanks for asking it. And as someone that read through the litigation papers, you might even be an attorney yourself, you know that there's usually limits that you want to say publicly about any pending litigation. But let me just kind of talk to the public filings, and I think that will put everything in context. Number one, we don't believe there's any infringement going on at all, and GGT has not been able to show any infringement out there. So the first thing is on the merits, there's nothing we're worried about there. But I think a very important thing that you should know is pretty much in every one of our license agreements, there's a provision that says that when that license terminates or expires, Research Frontiers get the license back of all the IP of the company that developed it relating to SmartGlass. So in the case of the SPD Control Systems license, when they terminated their license in 2015 or 2016, we got a royalty-free perpetual license back and all of their IP and a right to sublicense everyone else. So basically, A, there's no infringement, and b even if we were doing exactly what was in their patents and we're not, none of our licensees to my knowledge are, we would have a full license to do it. So I'm not at all concerned about it. I think it's a nuisance lawsuit. We're responding to it because you have to respond seriously to every type of lawsuit. But I think also that we're going to come out doing quite well in that lawsuit.
Operator: [Operator Instructions] And at this time, there appears there to be no further questions. I'd like to turn the call back over to Joe for closing remarks. Joe, would you like to take the question?
Joe Harary: Absolutely. Let's do it.
Operator: Okay. And our next question comes from Bruce Denny who is an Investor.
Unidentified Analyst: What about transparent displays, how is that market going?
Joe Harary: That market is something I'm very excited about because we talked earlier about some of the nontraditional uses that BMW is doing with headlights and also heads-up displays. Companies like LG Display and others have developed what they call a transparent OLED for everyone else's reference, and it's basically the ability to put OLED technology on a transparent material like a piece of glass or a piece of plastic. And what it does is it opens up the whole world of turning your window in your home or in your car into a full high-definition display. But if you think about the optics behind that, if you have daylighting behind that, it's going to wash out the display. So SPD film incorporated with the transparent OLED actually solved that problem beautifully because what it does is when you want that window to be a television. You basically turn off the SPD film that blocks 99.5% of the light, so you don't have the washout that you would have normally from daylighting coming through a transparent material like a window. And then when you want it to be a window a clear window, you flip on the SPD and turn off the OLED and it becomes a clear window. So it's really -- you've seen this in science fiction movies like total recall and things like that. But if you came to CES this year, you would have seen this in person and people were just stopping in their tracks when they walked by the Gauzy LG display there that had this because it really was something that was quite startling and beautiful, and I think it's going to have really good legs. And when you're in a consumer electronics market like that, the volumes could be enormous. And we're not adding that much to the cost of the display, and we're totally transforming the ability of their transparent OLED technology into something that is kind of cool to something that's very practical and can be used everywhere. And another application is imagine you're at a sporting event, and they have glass panels hanging down from the roof of the arena, and you can put content or advertising or instant replays on those transparent pieces of glass. But when you want to see the action on the field, you just turn it transparent. So you can actually really control the experience and the programming and also the advertising revenues is quite well by having this in some of these public arenas. The same thing for rock concerts and other things. So something we're very excited about. And it's one of the things I really like about our business because we're talking about further diversity of our technology beyond just panoramic sunroofs for cars and sunroofs, but pretty much a whole panoply of different products that use our technology. I kind of -- when I wake up in the morning, I kind of try to organize my day thinking it's as if you had a patent on stainless steel, everyone will figure out different ways of using it or titanium for it. People think of different ways to use it, and we just capitalize on the fact that we have those basic patents on the materials. So for me, it's a great way to keep an open mind about some of these new applications that can use our technology as a solution.
Unidentified Analyst: Part of my question is how about revenue streams. Are we starting to see commercial production of these televisions and displays? Or is that still in the future?
Joe Harary: It's still in the near future. When I say near future, I'm not sure if LG has announced the launch date, but we're not talking about an early 2023 event. So I think it will happen. What I can't predict is it going to happen in the home and office first or is it going to happen in some of the more commercial applications that they originally slated for like multimedia displays in museums, retail environments and sports, and other types of things or transportation. I mean if you looked at the last 3 or 4 car shows, these transparent OLEDs with SPD have appeared in a number of vehicle windows too , trains and cars as well. So it's hard to predict where they're going to come out first. The good thing about our business is we don't have to do the development work there. We just provide the solution that someone else does. So I like that.
Unidentified Analyst: That's great. And then one more question is how about the architectural market? Have we seen more architectural applications since our last call or since we last talked about the architectural market?
Joe Harary: We have. And one of the questions that I got, actually, which I forgot to address, and I apologize was from Judy about a company that has a retrofit application for glass in the architectural market. And she thought would that be a good use for SPD? And the answer is yes. And not only the company she mentioned, which is a start-up that is going through their Series A, but we have a very well-established, mature well-capitalized licensee that has developed their own retrofit solution for architectural and we see that as being a game changer for architectural SPD smart windows too. And I think that's maybe just to spend a minute or two more on it. If you think about architectural windows, if you're building a house, it's relatively straightforward. You take the glass out, you put in smart glass, you wire it and you're done. But if you're taking an existing building, let's say, it’s in New York, if you're going to do anything with the windows, A, you need landlord approval. B, you need to put fairly obtrusive scaffolding . And if you walk around, you'll see these all over New York and other large cities. And it's the bane of existence for people because the retail stores get adversely affected by that. The cost of putting it up is high. The building's aesthetics get compromised because of it while the construction is going on. And sometimes these things stay up for years. The only advantage I've ever found is walking my dog in New York when it's raining and you can walk him underneath these scaffolds and the dog stays dry, and Donut really appreciates that. But other than that, you try to avoid that, and it's an added cost also. So it's not only disruption but costs. So now if you say, okay, we can retrofit an existing building? We don't have to take the existing glass out. We could put in a glass and retrofit it to become smart. You totally change that equation. You don't have to put up scaffolding, you don't have to block views. You don't have to really spend a lot of time or disruption on the building. And you could do it very quickly. And in some cases, the system that I'm talking about that our licensee has, they come into a major government office building. And this wasn't with SPD, but this is during the initial trials for this approach, and they were able to outfit the entire building over a weekend. So it really totally transforms how you deliver smart glass to a building.
Unidentified Analyst: Fabulous So are we looking at government contracts for this?
Joe Harary: We're looking at that and even commercial because there are a number of buildings out there that have either energy-inefficient monolithic glass or want to take advantage of the Dynamic Glass Act and they would like to upgrade their buildings. And of course, as energy prices have been rising, energy efficiency in buildings have become more and more important. So from an economic standpoint, not just an environmental standpoint.
Unidentified Analyst: So is anyone working with the application of the combination of SPD and transparent solar?
Joe Harary: Yes. Yes, we've done that. Actually, there were actually aircraft windows a few years ago that came out from Vision Systems called Energia, which actually generated 20x more power than you needed for the SPD to operate. So that technology is very feasible with our technology because transparent photovoltaics tend to not have the same power generation ability as nontransparent photovoltaics. And that kind of keeps them out of the equation for certain things. But with our technology, since we use such low power, it's very, very feasible to do that. And we're kind of agnostic as to which transparent photovoltaic our licensee's work with because they all work.
Unidentified Analyst: Yes. Okay. How about the marine market? We haven't heard anything about all the yachts .
Joe Harary: I alluded to it a little bit that those projects continue. Those are mostly being spearheaded by Vision Systems and Isoclima. Those are two companies that are very big into Yacht glass, and they've done very well.
Unidentified Analyst: Okay. All right Joe, thank you very much.
Joe Harary: Good talking to you, Dr. Denny
Operator: And our next question comes from William Berg, an Investor.
Unidentified Analyst: Yes. Thank you, Joe. Can you give us any progress with regards to windshield applications, I'm thinking along the lines of Gentex with their mirror.
Joe Harary: In terms of rearview mirrors or in terms of sun visors and other types of applications?
Unidentified Analyst: Yes, embedded into the windshield.
Joe Harary: Okay. So we've done that actually, McLaren did that on one of their vehicles that they put into commercial production. It's eminently doable to do that. And as long as you're talking about going above the AS line, which is the blue shade band that you typically see on a windshield, you could do whatever you want without regulatory issues at all on that. And yes, I think it's a very elegant use of SPD. And if I will say this, I'm not going to mention which major automaker we've been working on with that. But I saw the video when we revealed it. And there was a couple of choice , 4-letter words like, "Oh my F’N God," when they saw it, it was perfect. So I think it's going to be a nice item for the automakers.
Operator: And our next question comes from Francis Koturba an Investor.
Joe Harary: Hi Francis
Unidentified Analyst: I was wondering, why is Mercedes not using SPD anymore.
Joe Harary: I think it came down to some delays that had crept into the vehicles that -- like the S- class, that the last version, we probably will be in the next one. And the fact that the other vehicles, which are the convertibles went to a canvas roof from a hard glass roof. So they don't have glass in the roof of any of their convertibles anymore.
Unidentified Analyst: You had spoken about windshields, what about supply chains to have them replaced? You can't certainly call Safelite.
Joe Harary: You can. And actually, Safelite, I mean, I have fairly sophisticated windshields in my Mercedes that we have, we have a glass in our roof, but the windshield has all sorts of the antenna and ADAC systems and other things in it. And the Autoglass, if I understand your question right, the aftermarket replacement can basically handle this as well if they needed to because they're currently gearing up to become more adept at all types of advanced windshields, mostly in the ADAC area, where you have sensors and things embedded in the windshield.
Unidentified Analyst: You said the income has gone up 91, …. on how many percent since last quarter?
Joe Harary: It was 91% since the fourth quarter and 40-something percent and 43%, I think it was since this quarter last year. And it's from the automotive and aircraft.
Unidentified Analyst: Were you aware of that before it happened? Or kind of was a surprise?
Joe Harary: I was aware, I was aware.
Unidentified Analyst: What about next quarter?
Joe Harary: I think we have to wait for the next conference call. As I said, I expect that this year, we're going to continue to reward shareholders. So I think everyone will be pleased with how things go this year.
Unidentified Analyst: This year, as in 2023.
Joe Harary: Right.
Unidentified Analyst: Okay I look forward to it.
Operator: And at this time, there are no further questions. [indiscernible] to close out the call.
Joe Harary: Sure. First of all, I want to welcome my new son in law Ezra to our family. You make my baby girl, Victoria, who's not such a baby, very happy. We had a recent wedding in the family. And also, to my good friend, Dennis, you sounded much better last time we spoke, and I wish you a complete and full recovery. To our shareholders, thank you for your support and your guidance. I do listen to your suggestions and appreciate them very much. And we're truly fortunate to have your support and encouragement . We couldn't have done what we have done without it. And perhaps to some new shareholders who invested in the SmartGlass industry because of either the investment tax credit from the recently enacted Dynamic Glass Act or see energy efficiency and carbon reduction in cars and buildings is an important goal. Hopefully, today, you have a better idea about the differences in smart glass technologies and the companies who bring them to you, and who to invest in. And I also want to thank our hard-working employees at Research Frontiers and our licensees. Today, the success we constantly work towards is being tangibly shown as we bring new products to the world to make people safer, more comfortable and which save energy and reduce carbon and other forms of pollution and simply make life better for tens of thousands of people each day and really, once again, I have to thank the hardworking people in our supply chain who do all this. One housekeeping reminder, we have our upcoming annual meeting in second Thursday in June. We have a fairly routine list of items on our annual meeting in 5 weeks from now. So please remember to vote your shares because we've had this conference call, I don't expect any real other business at that meeting other than the administrative business, but it's important that everyone votes. So I thank you all, and I look forward to sharing more good news with you again in August at our next investor conference call.
Operator: This concludes today's conference call. Thank you for attending.